Mizuho Shen: Welcome to the Recruit Holdings FY 2023 Earnings Conference Call. This call is simultaneously translated from the original call in Japanese and translation is provided for the convenience of investors only. I’m Mizuho Shen, Group Manager of Investor Relations and Public Relations; and joining me today are Hisayuki Idekoba, Representing Director, President and CEO; Yoshihiro Kitamura, Managing Executive Officer, Matching and Solution Business; and Junichi Arai, Executive Officer, Corporate Planning Division.
Junichi Arai: Hello everyone.
Mizuho Shen: The first 30 minutes of this call will be the fire-side chat among the three participants and the latter half hour will be the Q&A session. Please note that today’s session, including Q&A, will be posted on our IR website after the event. Please refer to the full year presentation video and slides, earnings release, and FAQ available on our IR website. Now, I’ll turn the call over to Jun.
Junichi Arai: Idekoba-san, Kitamura-san, thank you. I’d like to start by asking Deko some questions. Today, we disclosed the full year financial guidance for FY 2024. Now, looking back, last fiscal year, we only provided the next quarter’s guidance due to lack of visibility. So, this year, in May, we disclosed the full year guidance. So, please tell us the background that led to the decision to disclose full year guidance for the year?
Hisayuki Idekoba: Due to the unprecedented circumstance caused by COVID-19, the unemployment rate in the U.S. temporarily rose to 15% and during the recovery phase that followed, the job market experienced another unprecedented condition, with job openings exceeding more than 12 million at one point. These are all something that we had never seen before. As of this time last year, the number of job openings was expected to decline over the next two years, but the extent of this decline remained uncertain. But despite the decrease in job openings, the unemployment rate did not increase much, thanks to a low labor supply compared to past recessions. So, as a result, many individuals were able to remain employed, softening the impact on the consumer sector, even amidst weak performance in the corporate sector. Even now, while the overall economic outlook is still uncertain, as the likelihood of a short-term increase in the U.S. labor supply is low, we believe it is unlikely that the unemployment rate will rise to 7% or 8%, or that the number of job openings will decline by another 2 million or 3 million or more from this point forward. So, based on this outlook, we believe that the job market will shift to a relatively stable situation, allowing us to make reasonable forecasts for the full year.
Junichi Arai: I see. I have another question. In your presentation disclosed at 3 p.m. today, you mentioned that this fiscal year 2024 is year zero. Could you elaborate a bit more on what kind of a year you expect this to be by using this expression and also tell us a bit more about the background?
Hisayuki Idekoba: Looking at Recruit, in more than 60 years of our business operations, we have experienced many economic downturns and yet each time we have managed our business with a firm focus on improving efficiency. We believe that we have been able to increase our revenue in the past by acting a bit early in the stages where the economy seems to be bottoming out rather than starting to move after it has been confirmed that the economy has hit the bottom. Of course, it is very difficult to predict when the economy will pick up, but we believe that we are gradually entering the final phase of the economic cycle. Having said that, of course, there is still a possibility that the economy will take another turn for the worse in the future and that possibility may be high. But in any case, I have used the term year zero in the sense that we are making firm preparations for efficient business operations and completing our preparations for the bottoming out of the economy.
Junichi Arai: I see. So, year zero in terms of preparation. I see. I have another question for Deko regarding the HR Technology business. We disclosed adjusted EBITDA to be 33% to 36% for FY 2024? If revenue turns to an upward year-on-year trend in the second half of FY 2024, which is the basis of our guidance, and productivity is properly maintained through appropriate cost control under efficient business operations, then will margins increase further in FY 2025 and beyond as the economic cycle recovers? Can we see a big improvement in margins going forward with the economic upturn? There may be people who have such a view. What will be your response regarding FY 2025 and beyond?
Hisayuki Idekoba: Well, the HR Matching market as a whole is very large and there is significant potential for long-term growth. So, we believe it is still important to continue to increase our revenue. Therefore, we are not considering a management approach that merely focuses on increasing profit margins through downsizing or similar strategies. Only 350 million monthly unique visitors worldwide are currently using Indeed, but we believe that we can continue to help many, many more people around the world find jobs in the future. As a Recruit Group, while it is important to achieve high margins, we believe that our top priority is to consistently create new solutions, and as a result, increase the number of clients and users, as well as the number of actual hires. This will enable us to remain a growth-oriented company with sustained revenue growth. Thank you.
Junichi Arai: So, with regards to the HR Technology business, based on your comments just now, how do you intend to manage this business in the medium- to long-term? And also, based on what you just shared with us, what do you feel you would like the capital market participants to understand more deeply? What would you like them to remember? What is your message?
Hisayuki Idekoba: Well, it is going to be the same as what I’ve just mentioned, but the most important thing is to -- it that we are committed to improving HR Matching, which means we are simplifying hiring. While looking ahead, we are confident that the next five years to 10 years will witness advancements in technology, especially with the introduction of AI, that will transform the job search experience into something completely different from what it is today. If people are still struggling to find work 20 years or even 50 years from now, then it will be because we did not do enough. It is our failure, the company’s failure. Yes, it is our responsibility. Of course, we cannot guarantee happiness for everyone in the world, but I believe that if we can make it easier for people to find work they are passionate about, if we can make that easier, then they will be more satisfied with their daily lives. To achieve this, the entire Recruit Group intends to fully leverage data and technology, including generative AI, while operating our business with a strong sense of responsibility, believing that only we can improve and evolve the global HR Matching market. Thank you very much.
Junichi Arai: Next, let me turn to Kitamura-san. FY 2024 guidance for revenue in Matching and Solutions, HR Solution business is a decline of 10% to 23%? I think this is largely due to the shift of revenue to Indeed Japan through Indeed PLUS. But how fast or how much of the volume will actually migrate this fiscal year? Also, can you share any recent progress on Indeed PLUS since the event in March?
Hisayuki Idekoba: First, regarding the revenue forecast, we expect that approximately 70% to 80% of revenue from the full-time and part-time job advertising services in HR Solutions will be transferred to Indeed Japan by the end of FY 2024. As for the progress of Indeed PLUS, in March, we integrated four additional job sites into Indeed PLUS, bringing the total number of connected job boards on this platform to seven. We have received many inquiries from job boards other than our own and we are preparing to collaborate with them and plan to expand it gradually. Looking forward to it.
Junichi Arai: I believe that Matching and Solutions, HR Solutions and HR Technology will work even more closely together in Japan from now on. Earlier, Deko mentioned in the presentation that it is essential to further strengthen the collaboration between the two businesses and operate them in a unified manner. What exactly will you focus on and how will you proceed with this collaboration?
Yoshihiro Kitamura: Well, the collaboration is a keyword that is gaining a lot of attention, but that is not the purpose, that is not the goal. We believe the most important thing is to provide an environment in which the employees engaged in both businesses are highly motivated to realize the evolution of businesses.
Junichi Arai: I see.
Yoshihiro Kitamura: At the same time, it is also important for the Group to further accelerate the evolution of the business to achieve greater efficiency. So taking these factors into consideration, we believe that operating both businesses in a unified manner, we will be able to further evolve towards promoting Simply -- Simplify Hiring in Japan, which is the second largest global HR Matching market after the U.S. Regarding the future structure, it is currently under review, but we believe that from FY 2025 onward, at least from a disclosure perspective, we will be able to report to the capital market participants on the progress of this evolution as a single business segment. Thank you.
Junichi Arai: Now, talking about the Marketing Solutions, in the earlier presentation, Deko said that we will aim for an adjusted EBITDA margin for allocation of overhead costs of 35% to 40% in Marketing Solutions in the medium-term. Is this mainly due to an increase in revenue or improved operational efficiency, or perhaps, both? How do you arrive at this 35% to 40% number in adjusted EBITDA margin?
Yoshihiro Kitamura: Well, to put it simply, I believe that both revenue growth and productivity improvements will have a positive impact. We expect that the housing and real estate and beauty business will continue to be the largest contributors to revenue growth over the next several years. In addition, the dining business, which diversified its billing model options under COVID-19 pandemic, is also expected to contribute to revenue growth along with these two businesses. Regarding SaaS, we are currently in a phase focused on expanding a number of accounts and GPV, primarily through AirPAY. The primary goal of the fintech service is to reduce the complexity of financial transactions for business clients at the moment. In the next stage, we plan to proceed carefully in determining the take rate from GPV, et cetera, while meeting legal requirements. Therefore, we see potential in these areas, but we expect their contribution to be mid-term in terms of revenue. So, looking forward to the many changes to come.
Junichi Arai: Then, what about initiatives to improve operational efficiency of the business or with respect to improving the productivity of our operations over the next several years, starting in FY 2024?
Yoshihiro Kitamura: We will continue to make further efficiency improvements in terms of costs. For example, for SG&A expense, outsourcing expense will be revised to an appropriate size as they were expanded in preparation for the recovery period from COVID-19 pandemic. So, there was an expansion, investments and this will be right-sized. Also, for advertising expense, they are divided more strictly into two categories, investment-oriented expense and cost-like expense for the Matching platform and these are to be managed more efficiently. There are endless number of these initiatives, but we believe reductions are possible from various perspectives. As a result of these efforts, we aim to manage performance targeting a margin before allocation of overhead costs of 35% to 40% in the mid-term. So, it’s a multifaceted approach.
Junichi Arai: So, there is the overhead costs with regards to Matching and Solutions, and how do we see the overhead costs going forward?
Yoshihiro Kitamura: Overhead costs and shared expense include the costs related to the core technology infrastructure renewal mentioned earlier, some outsourcing costs and costs related to subsidiaries not belonging to any business. We expect these to be around JPY31.5 billion in FY 2024. These expenses are associated with functions and services provided to both Marketing Solutions and HR Solutions. So, it’s actually quite difficult to divvy them up. Moving forward, we intend to appropriately allocate these costs and reduce them as we improve productivity along with the organizational changes in the future. Thank you.
Junichi Arai: I would like to also ask another question to you, Kitamura-san. You take a broad look at your operations in Japan, and we talked about the HR Solutions. Are there any new initiatives? You already talked about this at the events in March, but are there going to be any new initiatives in the HR Solutions? What about progress?
Yoshihiro Kitamura: We are focused on increasing the number of job listings on Recruit Groups platforms through AirWORK ATS and Indeed PLUS. At the same time, our shift management service, AirSHIFT, is making shift vacancies visible from data about detailed times and work units. By combining such data, we continue to develop matching services that can be used efficiently without increasing the workload on our business clients. For example, recently there has been an increase in demand from both job seekers and companies for Spotwork that utilizes spare time, and in order to meet this demand, we are entering the Spotwork field by leveraging our proprietary Indeed PLUS technology. We plan to launch such a feature on TOWNWORK in the fall of 2024 and will also launch a new dedicated job board at the same time. Thank you very much.
Junichi Arai: Any updates on the SaaS business? Any news that you can tell us?
Yoshihiro Kitamura: Well, since the IR event that we held in response to the start of digital wage payments in April of 2023, we launched our new payroll payment service, AirWORK Payroll, and recently we have started offering this service to our group company, Recruit Staffing, allowing approximately 40,000 temporary staff members working there to receive their wages in advance. Also, currently Recruit MUFG Business is applying to become a fund transfer agent that handles digital payment of wages. Once this is approved, our business clients will be able to pay wages through the payment brand COIN+, and employees will have the option to receive their wages through COIN+ on the payment application AirWALLET in addition to their bank accounts. We hope to expand our service offerings to a wide range of companies in the future. Many things are happening then.
Junichi Arai: Are there any updates in Marketing Solutions?
Yoshihiro Kitamura: Yes. Since the IR event, since March, Recruit points can now be used at JPY1 per point on the Amazon website. This has been well received by users as it expands the range of use of the Recruit points they have accumulated through the use of Recruit services and we believe this will contribute to an increase in the number of individual user actions, which is one of our key KPIs. We will continue to make efforts to provide more convenient services. Looking forward to it.
Junichi Arai: From here, we will be taking questions from the analysts, but let me address one point before that. In FY 2023, we implemented shareholder returns of approximately JPY250 billion through dividends and share repurchases. Including dividends, the total shareholder payout ratio was 72%, which was the highest in the last three fiscal years. The business continues to generate strong cash flow in spite of the market environment and interest-bearing debt is virtually zero. So, the net cash and cash equivalent level was approximately JPY1.1 trillion at the end of March. As we continue to improve operational efficiency and productivity, we believe that we also need to improve capital efficiency, as was mentioned on Deko’s presentation, on a consolidated basis in light of the current situation. In accordance with our current capital allocation policy, taking into account the stable operation of the business, as well as contingency plans, while paying a stable dividend and executing strategic M&A if we have opportunities, we would like to proceed with shareholder returns using the share repurchase program as the main method. As a listed company in Japan, we considered the time frame and feasible scale of such programs and came to the conclusion that it would be achievable and not interfere with our business operations to set a target of reducing the net cash and cash equivalent level to approximately JPT300 billion over the next two years. While promoting capital efficiency through shareholder returns, we hope to gain the long-term support of our shareholders by being recognized by the capital markets as a global growth company and we look forward to your continued support. Thank you, everyone.
Mizuho Shen: [Operator Instructions] Thank you. First, from Nikkei Shimbun, Jin Nishioka-san, please.
Jin Nishioka: This is Nishioka from Nikkei Shimbun. Thank you.
Junichi Arai: Thank you.
Jin Nishioka: So you have the full year guidance announced and we’ve heard about increase in revenues, sorry, regarding revenues and profits, I think there is a wide gap. So when do you expect revenues to increase or when do you expect a decrease in profits? What are the different scenarios? I would appreciate more explanation on this. Thank you.
Junichi Arai: Thank you. Regarding your question, I briefly talked about this earlier, but the economic cycle in the U.S., to what extent it becomes worse, is key. We are seeing deceleration or slowing down as we speak and many economists or even myself also thought about this. We expected that the cycle would enter the recessionary stage earlier. This was our thinking last year. However, the consumer side numbers remain strong, and as a result of that, from soft landing or to mild recession is the current expectation. At 15% probability, hard landing is also a possibility. So, again, the COVID-19 pandemic was an event that happens once every 100 years and after that occurrence, it is very difficult to predict where the economy will be. In my presentation, I talked about this. We continue to expect the consumer numbers to deteriorate, the economic cycle to worsen or the number of job postings to continue to decrease. That is what we can say with certainty. But to what extent things will deteriorate? Looking at GDP decline or looking at other economic indicators and how they decline, the most difficult one is in the financial sector. The high interest rate has put high pressure or high stress, so debt-related issues may occur. That is another possibility. But given these economic indicators and also the labor market, the HR market are getting decoupled to some extent. As I mentioned in my presentation, the job postings may decrease by 3 million or so. Still, the economy remained out of recession. Therefore, we expect things to get somewhat more stabilized. But as I mentioned before, especially for the financial sector, something like black swan events could occur. And if that happens, then we may see more of a recession. So there is that downside. That is the expectation we take into account in our management. That is why we presented a rather wide gap. In any case, for management, with the premise that the economy may take a downturn, we need to focus on improving operational efficiency. That is our main goal for this year. So to next year -- towards next year, we will complete our efforts on improving the operational efficiency. So things may get worse, but this management policy will remain unchanged.
Jin Nishioka: Thank you very much. So if I could elaborate. So the base guidance is an improvement, higher revenue. But if the environment worsens, then you will be in the negative territory. Is this correct?
Junichi Arai: Yes. Basically, the topline, if there is a big downturn, then the cost, in spite of efficiency efforts, may not be enough and we could see lower profit. If there is a delay in the recovery timing, as Deko mentioned, we will still prepare ourselves for year zero and once we have more visibility in recovery, we will make new investments and we will start to increase advertising spend ahead of the recovery. So even in the low range, we will need to make some investments in preparation and that would mean some lower margins. This may be a bit detailed, but as Kitamura-san said, Indeed PLUS revenue will be shifting from MS to HR Technology. So this shift or migration does have a numerical impact in terms of lower revenue. And if some negative scenario materializes, still we have to have the necessary expense and so that would mean a lower profit. So as Deco said, we would be prepared for the worst and this is the range that we have presented.
Jin Nishioka: Understood. Thank you very much.
Mizuho Shen: Next, JPMorgan Securities. Mori-san, please.
Haruka Mori: Thank you for the explanation. We are limited to one question, so this was difficult, but I have a question around HR Technology. I also wanted to ask some questions around M&S, but looking at specific periods, the HR Technology-wise, what are important events? I just want to confirm again with you, I think, I have a good understanding on the macro aspect, but looking at the business, what areas will be your focus specifically for this year? In the March investor updates, you mentioned a lot of things and Indeed Apply Liberal [ph] will need to be increased. Recently, it has somewhat been stable at around 40%, 50% and if you are going to increase this ratio, that means you need to add more added values. Are you going to focus on increase this percentage? What will you do in order to reach a higher level? Also, yesterday you mentioned you talked about some reduction in workforce and improving operational efficiency is important for the year, so will that be your focus? And you also mentioned making thorough preparations for year one. Does that mean further improving efficiency or does it also entail something else? For the HR Technology business, what is your main focus? That is my question. Thank you.
Junichi Arai: Thank you very much. Simply put, we need to complete our efforts on improving efficiency. Our competitors are also presenting their numbers and we see that the U.S. was quite a challenge for Staffing as well. The numbers are -- the numbers quite fluctuated as if they were in a recessionary stage. So in this sense, in improving efficiency, what we consider to be most important is, of course, costs are an important area, but the monetization, this also needs to improve in terms of efficiency. As Mori-san mentioned, we need to also increase Indeed Apply. What we offer to clients, our solutions need to be higher in values and then we charge, we bill them accordingly, we need to increase the client’s budget accordingly. And this is something we are working on a daily basis by running various tests and we are starting to see good results out of these tests. As job numbers increase in the U.S. and we need to be ready by then for the trend to take a positive turn, including the organizational change, we need to be prepared so that we may act swiftly. So we need to bring these monetization efficiency tests to completion and at this timing, AI, particularly gen AI is being incorporated into various aspects and these are bringing significant change. We need to be ready to adapt to these changes and apply those changes to ourselves and that is why we are implementing these organizational changes. When the trend changes, we need to be ready and we need to make preparations for that. And in that sense, introducing further efficiency is important and I hope I answered your question.
Haruka Mori: Yes. Thank you. I have a follow-up regarding Indeed Apply. Within this year, more than half or more would be operational up and running or are you intending to raise the ratio once the macro numbers are recovered?
Junichi Arai: It should be higher as part of our thinking as management, but this integration also happens with the client’s cost. When the economy worsens, things may not move as fast. As we heard, we haven’t seen much increase in the past year or two, but as numbers improve, hopefully this will also be reflected.
Haruka Mori: Thank you. Thank you very much.
Mizuho Shen: Next, Munakata-san from Goldman Sachs, please.
Minami Munakata: This is Munakata from Goldman Sachs. Thank you for taking my question. It’s difficult to choose one question, but I’d like to ask about the Japanese market in terms of the HR Market. Indeed PLUS and TOWNWORK SUKIMA, Japan’s unique initiatives seem to have accelerated. So, the importance of the Japanese market seems highlighted from what we see. So, how do you position the importance of the Japanese market? And over the past few years, have you changed the way you look at the Japanese market? Also, regarding the Spotwork service, there are already competitors. So, as a latecomer in Spotwork, what do you think would be your uniqueness or your competitive edge in this area?
Junichi Arai: Kitamura-san, over to you.
Yoshihiro Kitamura: Thank you for the question. Well, recently, the Japanese market, HR for Matching Solutions and HR Tech across the organization, we have been promoting various initiatives with Indeed PLUS at the center and I think this has been very visible to the public. So, in terms of this market, we do have a very high market share in Japan. And also, as mentioned at the onset, Japan is the second largest market behind the U.S. And by promoting new initiatives, perhaps we can realize the creation of a new service in Japan that would be expanded globally to other markets and this is how we have been promoting the collaboration. So, something that has been tried for the first time or invented in Japan being adapted to the global market. We have not had such an example in the past, but recently, we have recognized this possibility and that is why we are accelerating this. So, have we changed our view on the Japanese market? To be frank, yes. And we need to make an effort to change the Japanese market ourselves so that what we are doing in Japan can be expanded globally and this is not just HR Tech, but our Group as a whole. Also, regarding Spotwork, initially, we had three materials or resources to make the Spotwork business successful. One is AirSHIFT. So, which shift is lacking? That kind of a corporate client information is available to us. And linked to that, there is Shift Mode for people who are part-time workers. We have the application to manage the schedule of these part-time workers and this is linked to AirSHIFT. So, on the Shift Board, we also know the information of people who are available but are not working at the moment. Also, Spotwork is something that you receive immediate payment after work. And in order to provide that service, you need to cash out first and then you send the invoice to the client. And so, there is this cash conversion cycle. And so, we have the AirPAY service and we have liquid cash that is available for such an advanced payment. So, we have other strengths, but these are the three competitive strengths that we have identified. And also, we have Indeed PLUS’ unique matching system, so that even if we are a latecomer, we believe that we can provide a valuable service. I hope that this answered your question.
Minami Munakata: That’s very clear. Thank you very much. It’s very exciting to hear those initiatives. I’m looking forward to this and future updates. Thank you.
Mizuho Shen: Next is from Citigroup Securities. Yamamura-san, please.
Junko Yamamura: Thank you for the explanation. I’m Yamamura from Citigroup. Can you hear me?
Junichi Arai: Yes.
Junko Yamamura: I have a question about cash allocation, cash over JPY1 trillion down to JPY600 billion. That is the reduction that you’re aiming. That is a significant amount. And basically, shareholder returns will account for the majority of this based on the disclosed materials. M&As, which you suspended for the past few years, will also be an option. So, what is your priority? What balance should we consider? And as for M&As, if you already have certain plans, any considerations, which areas in particular are you looking at and what is the background of what you consider to be issues or challenges that need to be addressed through such M&As? Thank you.
Junichi Arai: Deko, first on M&As, do you anticipate anything interesting to happen in this area?
Hisayuki Idekoba: Well, as you know, the U.S. has seen a rapid change in the interest rate from zero to 5. Based on this change, IPO and M&As, well, for M&As in the private sector, we are not seeing the numbers increasing, as you are aware. On the other hand, looking at startups, how they are financing through rounds, based on our data in HR Tech startups over the past two years or more, they have implemented rounds of financing. The number amounts to close to 200 startups, maybe more than 200 in some cases. So, in terms of activity or conversations or dialogue with startups and partnerships are increasing in number. But since we are talking about M&As, we want to be careful. If we rush into this, then the possibility of failure is also going to be higher. So, we need to make sure that a company has solid technology, which also shares the vision with us. With such companies, we are having conversations, but of course, M&As also consider the counterparts. Of course, we want to have some good results. So, we are working on this. So, while working on this, at the same time, we will be promoting shareholder returns. So, we will be focused on both. So, allocating how much to which is not something we have or we share with you. But as I said before, we have the capital allocation policy of the company and that states that we use funds first and foremost for the businesses that make stable dividends and then invest in promising M&As. And if we still have cash left and considering our valuation, of course, we will then implement share repurchases. That is the order and that order remains unchanged. So, M&As and shareholder returns will be both sought and then we aim to bring the net cash level down to our target level.
Junko Yamamura: Thank you very much. That was clear.
Mizuho Shen: Thank you very much. Next question, Nagao-san, please.
Yoshitaka Nagao: I’m Nagao from BofA. I have so many questions and it’s very difficult to narrow down the question. But since Kitamura-san is participating, I’d like to ask about Marketing Solutions and HR Solutions regarding Indeed PLUS. So, having a unified solution in putting that together with HR Tech, the job board type, that kind of an agency reorganization may be necessary in terms of the remuneration or the former Recruit, the ex-Recruits’ people who love Recruit, I think have been responsible for them. But there seems to be some dissatisfaction on their side as well. But are you able to control that? And then from Indeed, when the job advertisements, job posts are sent, you need to make sure that there is no issue in terms of compliance and that kind of an audit function needs to be added to Indeed in terms of the contents of the job postings. So, is that really available? In order to transition the business smoothly, I think, we need some time to prepare and so, I would like to ask about the current status regarding the transition, since this is a major turning point, I’m wondering if this will be a successful effort?
Junichi Arai: Well, you are very knowledgeable about this service. You have studied very well. Well, thank you very much for your question. In the transition to Indeed PLUS, we have agencies who have been partners and also ourselves. We need to change the way we work. This has been the decision that has been reached that we need to transform. And also, in terms of the audit or screening of the job postings, we will be providing some people and we will be providing support in establishing this kind of an organization. And this ties in with what we talked about earlier regarding the financial numbers. So, at this time, we’re not really pursuing a higher profit more than any other indices, because we need to make sure that we are compliant with the law and we need to provide sufficient audit functions. So, this year, we will be focusing on these efforts more and that is why the improvement in terms of the profit is limited. Of course, we are used to what we have been doing in the past and continuing what we have been doing is one thing. But there are some changes that we can make to further improve the situation. So, we have to look at the balance, and this is not just from the agencies, but also from our internal employees. There are different views. Recruit is a very diverse organization. So, there are people with different views. But we believe that Simplify Hiring and supporting the job seekers find work that they can work with passion. We want to support such job seekers more than anything. And this is what we are committed to in the medium- to long-term. So, we don’t want to deviate from this goal. We want to work with everyone to make this service better. And as a result of that, we believe that we can generate profit that is higher than what we have enjoyed in the past and creation of new value is essential in creating the future. We don’t see a future of delivering profit or growth without delivering new values. So, this has been our focus. Kitamura-san, what has been the feedback from the clients?
Yoshihiro Kitamura: Well, we have received excellent feedback from the clients in terms of job application numbers and also regarding speed. In the past, it took like two weeks, three weeks to open up job postings. But now, when companies require hiring, they are able to shorten the period and receive more application from job seekers than in the past. So, this is still early days. But over the past few months, we have received very strong feedback.
Hisayuki Idekoba: May I add to that? Well, Recruit is a company that continuously challenges change and transforms itself. So, in the short-term, perhaps doing what we have done before may be best. But now that Japan is facing a severe labor shortage and we know that this will become more aggravated as time goes by, we have had various internal discussions and even though this is a big challenge, quite difficult, we wanted to create a solution to resolve this societal challenge and this is a decision that we have made as a Group. So, this is not just the Open to Recruit job board, but also other companies’ job boards or other regions’ job boards. We want to work together with various partners in AI-based matching. So, in this sense, this is our challenge toward the future. And so, it may be quite tough, but we would like to work hard to make this successful.
Yoshitaka Nagao: Thank you very much.
Mizuho Shen: Thank you very much. Moving on to the next question from CLSA Securities. Kato-san, please.
Jun Kato: Good afternoon. I am Kato from CLSA. Can you hear me?
Junichi Arai: Yes. We can hear you.
Jun Kato: Yes. I have one question. In March, during the Investors Day, you mentioned that we will have job offers to 100 million people by 2030 and 23 hires per minute by 2030 is the target you mentioned. So, what will be the number of hires per minute then? And what are some of the factors that need to improve in order to reach that goal?
Junichi Arai: You’re asking for numbers. Do we have numbers? Well, it’s not that we have specific numbers. So, rather than looking at numbers, we are focused on how we can make contributions to society and that is a benchmark that we are measuring against. We’ve done this last year and the year before that, and again, at the end of June or in the beginning of July, we will have the SI chat with myself. And hopefully, rather than presenting the best case scenario and the worst case scenario, we would like to talk about what we will be working on towards that goal. And coming back to what Deko said in the beginning, making everyone happy in the world, I think that that’s where we want to go. What needs to happen in order to reach that state? That’s something we have yet to see. That is a difficult question. I believe in 2011 or 2010, indeed, when I was writing the future goal for Recruit, I remember writing down 500 million users. Many people laughed at that. Everyone asked how I would achieve that. What is the formula you’re using to calculate that number and many other questions? But today, we have 350 million users. We are still not there yet. But we are a company of non-continuous growth and we set ourselves a very ambitious target. We continue to run tests and we bring ourselves closer to achieving those goals. So I’m aware that this is not a satisfactory answer to your question. But I’m often engaged in a similar conversations, but I would like to say that this is something that is not easy to calculate, but we are trying to reach and bring ourselves closer.
Jun Kato: I see. Thank you very much.
Mizuho Shen: The next question will be the last question from Nomura Securities. Mr. Ong [ph], please. Thank you very much.
Unidentified Analyst: This is Ong from Nomura Securities. I’d like to ask about the take rate of Indeed U.S. This year, what are the initiatives that we should focus on? For example, is it connection to OTS or smart solution, SaaS service, Indeed Flex? So what will be the priority in terms of the contribution of the different initiatives in Indeed U.S.?
Junichi Arai: Well, we’re testing different initiatives and if I could highlight two of them. So there are many jobs that are being posted free of charge without a budget. But there are job postings that have been posted two years, three years without any budget being allocated. And so we are testing it, asking past clients to pay for that job post at some time after some time have passed. That is one. And then second is to provide the budget recommendation and to attach an explanation of why that budget should be erased. We are considering providing that in more detail. For example, for this job, this kind of an experience or this kind of a license is necessary. And our Matching engine is very sophisticated. So the reason of the budget, we are able to provide a very fine meshed analysis. So this kind of a budget recommendation is going to be quite interesting. So that kind of explanation requires perhaps more evolution in gen AI, and more technology will be necessary. But we will be working on different initiatives to improve the take rate. And this is something that we need to have the customer on board, we need to have them feel persuaded, so that we can increase the take rate and the repeat rate as well. So, of course, revenue is important, but we also want to make sure that the client satisfaction remains high.
Unidentified Analyst: Thank you very much.
Mizuho Shen: Thank you very much. So it is time to close. We would like to conclude the results call at this time. Thank you very much everyone for joining.